Operator: Greetings, and welcome to the Lattice Semiconductor Third Quarter 2023 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Rick Muscha, Senior Director of Investor Relations. Thank you, Rick. You may begin.
Rick Muscha: Thank you, operator, and good afternoon, everyone. With me today are Jim Anderson, Lattice's President and CEO; and Sherri Luther, Lattice's CFO. We'll provide a financial and business review of the third quarter of 2023 and the business outlook for the fourth quarter of 2023. If you have not obtained a copy of our earnings press release, it can be found at our company website in the Investor Relations section at latticesemi.com.  I would like to remind everyone that during our conference call today, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution you that such statements are predictions based on information that is currently available and that actual results may differ materially. We refer you to the documents that the company files with the SEC, including our 10-Ks, 10-Qs and 8-Ks. These documents contain and identify important risk factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements. This call includes and constitutes the company's official guidance for the fourth quarter of 2023.  If at any time after this call, we communicate any material changes to this guidance, we intend that such updates will be done using a public forum, such as a press release or publicly announced conference call. We refer primarily to non-GAAP financial measures during this call. By disclosing certain non-GAAP information, management intends to provide investors with additional information to permit further analysis of the company's performance and underlying trends. For historical periods, we provided reconciliations of these non-GAAP financial measures to GAAP financial measures that can be found on the Investor Relations section of our website at latticesemi.com. Let me now turn the call over to Jim Anderson, our CEO.
James Anderson: Thank you, Rick, and thank you, everyone, for joining us on our call today. We delivered solid results in Q3 with quarterly revenue growth of 11% year-over-year, while maintaining healthy gross margins and operating margins. Today, Lattice has the strongest product portfolio in our history in terms of both hardware and software solutions, and we continue to expand our product portfolio at a rapid rate.  We're looking forward to the expected launch of the 2 newest members of our Avant mid-range FPGA family at the Lattice Developers Conference in December. Let me touch on a few Q3 highlights. In addition to the Q3 revenue growth, we achieved a record non-GAAP gross margin of 70.6%, which was an increase of 110 basis points year-over-year. We expanded non-GAAP operating margin by 60 basis points year-over-year to 40.3%, and we generated 40% free cash flow margin. Let me now provide an overview of our business high end market. In the communications and computing market, revenue was up 6% sequentially and down 6% on a year-over-year basis.  We're pleased to see the sequential uptick in this segment given some of the macroeconomic challenges this end market has experienced over the past quarters. The sequential growth was driven in part by growth in data center servers for both general purpose and AI-optimized applications. And we expect growth in servers to continue into the current quarter, offset by softer demand in 5G telecom infrastructure. Over the long term, we continue to believe we are well-positioned for growth in this segment given our growing content for server in both general purpose and AI optimized data center servers as well as long-term growth opportunities in data center networking and telecom infrastructure.  Turning on to the industrial and automotive market. Revenue declined 5% sequentially and was up 28% year-over-year. While we're very pleased with the year-over-year growth, we did experience sequential softness in this market, consistent with broader industry trends, and we expect this market softness to continue into the current quarter. However, we continue to expect this market to be a strong long-term growth opportunity for Lattice as we address growing applications in industrial automation and robotics as well as automotive ADAS and infotainment systems.  I'll now provide some product road map highlights. We're driving the largest product portfolio expansion in the company's history, which we believe continues to create new future revenue streams for Lattice. We recently introduced CrossLink-NX, the seventh device family built on the Lattice Nexus platform. This newest device family is the industry's first FPGA in its class with integrated USB functionality, which is applicable to many diverse use cases. We also continue to be pleased with the progress on our new Lattice Avant platform, which creates new greenfield revenue opportunities for Lattice. We look forward to further expanding the platform with the expected launch of 2 new Avant device families at our Lattice Developers Conference in early December.  Software is a key component of our strategy, as our software accelerates customer adoption and they enable faster time to market for our customers while driving long-term multi-generations for our solutions. Avant will also leverage the same stack that our customers are already using today on our current Nexus products, which enables faster customer adoption on our new Avant platform. We look forward to sharing new details about our software portfolio at our developers conference in December.  Overall, I'm pleased with our continued execution. While we're not amend to macroeconomic headwinds in our end markets, we're excited about the continued rapid expansion of our product portfolio. And we believe that we continue to be well-positioned for long-term growth across our core markets. I'll now turn the call over to our CFO, Sherri Luther.
Sherri Luther: Thank you, Jim. We are pleased with our solid Q3 financial results. On a year-over-year basis, we drove double-digit revenue growth, continued gross margin expansion and strong profitability. We generated a record level of cash from operations, continue to invest in our leadership product portfolio and returned capital to shareholders through our 12th consecutive quarter of share buybacks.  Let me now provide a summary of our results. Third quarter revenue was a record $192.2 million, up 1% sequentially and up 11% year-over-year. Sequential growth in the quarter was driven by Communications and Computing. Year-over-year revenue growth was driven by Industrial and Automotive. Our non-GAAP gross margin increased 10 basis points in Q3 compared to the prior quarter to a record 70.6% and was up 110 basis points on a year-over-year basis. Both the sequential and year-over-year increases in gross margin continued to be driven by our gross margin expansion strategy, which is in its fifth year.  Non-GAAP operating expenses were $58.2 million compared to $58 million in the prior quarter and $51.3 million in the year ago quarter. R&D expenses increased both sequentially and on a year-over-year basis as we continue to make investments in our product roadmap. Our non-GAAP operating margin was 40.3% in Q3 and was up 60 basis points compared to the year ago quarter. Q3 earnings per diluted share was $0.53 compared to $0.48 in the year ago quarter, which represents 10% year-over-year growth. Driving strong cash flow generation continues to be a key focus area for the company.  In Q3, we generated a free cash flow margin of 40% and returned capital to our shareholders by repurchasing $10 million in stock or approximately 110,000 shares in the 12th consecutive quarter of our share repurchase program. We ended the quarter with $114 million in cash.  Let me now review our outlook for the fourth quarter. Revenue for the fourth quarter of 2023 is expected to be between $166 million and $186 million. Gross margin is expected to be 70.5%, plus or minus 1% on a non-GAAP basis. Total operating expenses for the fourth quarter are expected to be between $57 million and $59 million on a non-GAAP basis.  In closing, I am pleased with our financial results and continued execution. While we are experiencing softness in some of our end markets, we remain focused on driving profitable long-term growth. Operator, we can now open the call for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Mark Lipacis with Jefferies.
Mark Lipacis: I had a question on geographic trends. Can you talk about what you saw in the quarter geographically and how things are playing out so far in Q4? Would you expect those trends to continue in Q4?
James Anderson: Yes. Thanks, Mark. And I'll also talk about it in the context of the end markets as well. So first of all, for Q3, first of all, we're pleased with the revenue results in Q3, the sequential growth and the year-over-year 11% growth. In the Comms and Computing segment, if we look at Q3, did see sequential uptick in revenue. We were pleased with that. That was one of the main drivers of that sequential growth from Q2 to Q3 as data center servers, both general purpose servers as well as AI optimized servers.  From a geo perspective, it would be very much the geo mix that you would expect for data center servers that go into both OEM server vendors as well as hyperscalers. Just as a reminder on that new generation of servers that's starting to ramp here in the second half of the year and into next year. We do have a significantly higher level of content and a new generation of servers. So that's a tailwind that we saw from Q2 to Q3. We expect that to continue into Q4.  Now we are seeing in Q4, although we see servers being sequentially up within that Communications and Computing segment, we do see some headwinds and softer demand in communication, specifically in 5G telecom infrastructure. And that's both wireless and wireline infrastructure, we're seeing lower demand. We view that as really from lower CapEx spending driven by lower CapEx spending from telecom operators. And that would be, the geography, that would be more from the European geography, some Asia as well.  That's softness around telecom infrastructure. And then net-net, for the Comms and Computing segment, we expect as we go into Q4 from a sequential basis, we would expect that segment to be flat to sequentially down with, as I said, with kind of server demand being up and 5G telecom infrastructure being down sequentially. And then if I move over to the industrial auto segment, our other big segment, in Q3, first of all, we're quite pleased with the year-over-year growth that we saw in Q3, 28% year-over-year. But towards the end of Q3, really in the last kind of 4 to 6 weeks of Q3, we started to see demand soften from our industrial and automotive customers.  I would say that it was really localized to the Asia geography. And we expect that softness that we started to see at the end of Q3 extend into the current quarter, Q4. And that's both a comment relative to the Asia geography as well as in Q4, the current quarter we're starting to see demand softness in the Europe geography as well. And so we think that softening of demand that we saw towards the end of Q3 extends into Q4. And the net then, is our Industrial and Auto segment, we're expecting that to be sequentially down from Q3 to Q4. So hopefully, that gives you some callable both by segment but also to your question by geography as well.
Mark Lipacis: That's very helpful. And if I may, on the follow-up, can you talk about Avant? It sounds like you're queuing up 2 more products or products in that family to launch. How should we think about Avant relative to Nexus? And what do you think you really hit your stride on Avant in terms of revenues?
James Anderson: Yes. Great. Thanks, Mark. Happy to talk about Avant we are always -- I'm excited about Avant. So first of all, just in general, we're really pleased with the continued progress on a Avant overall. We launched that platform towards the end of last year. And just as a reminder, Avant is our new mid-range FPGA platform. It doubles our addressable market. And what we're really excited about is it basically creates an entirely new greenfield revenue growth stream for the company.  We feel really good about just the continued progress and execution on Avant. You asked relative to Nexus. When we look at the design win pipeline for Avant, it's very strong. It continues to grow. And relative to Nexus in terms of kind of at the same relative point in time, the Avant pipeline is significantly larger, which we view as really positive. In terms of revenue, we continue to expect a small amount of initial revenue from Avant this quarter Q4, as we've talked about in the past. It will be a small amount of initial revenue, but it's an important milestone for us because it marks the beginning of that revenue ramp for Avant into 2024, '25 and beyond.  We're also really excited about launching the next 2 device families in the Avant lineup. That's the Avant-G and X. We're expecting to launch that at the developers conference, Lattice Developers Conference in early December. So stay tuned. You'll hear more about that at the developers conference. But what's great about that is by the time of the developers conference, we'll now have with the addition of G and X. We'll have 3 device families, 3 different Avant device families in the hands of our customers that address a really wide range of applications across that mid-range FPGA market and a lot of diverse applications across our customer base. And so really excited about that. And excited now once we put all the samples in the hands of customers to really focus on driving that revenue ramp as we move forward. And one other, I guess, note, as a reminder, on Avant is it does leverage the same software as Nexus. So we leverage the same software investments that we've been making on the Nexus platform. Avant takes advantage of those as well. So anyway, happy to certainly share more about Avant, the new versions, G and X, at the Developers Conference in December.
Operator: Our next question comes from the line of Tristan Gerra with Baird.
Tristan Gerra: So it sounds like the revenue shortfall relative to expectations for Q4 is all industrial and automotive related. So assuming that gives us about $95 million in Q4 for that segment, that's still above the run rate of '22. So the question, and I know you've mentioned weakness in China, how much further downside could there be in that segment that's been growing very meaningfully over the past 2 years?  Where do you think your true demand quality revenue run rate baseline is in that market? And what was the significant growth in the past few quarters, was it driven by inventory sales versus content gains? So just trying to see where we could land from a stable run rate, quarterly run rate in future quarters in that segment.
James Anderson: Yes. Thanks, Tristan. So on the kind of back half of your question, we really see the growth that we drove through the first 3 quarters of this year. And remember, that follows multiple years of double-digit growth, really as content gains. We've had significant design win growth over the past, really, 3 to 4 years, and that's led to multiple years of double-digit growth. And yes, if you look at, if you can sort of take the midpoint of our guide for Q4, we would still expect Industrial and Automotive segment to be up on a year-over-year basis for Q4. And for full year this year, we would expect Industrial and Automotive to have, again, significant growth for the full year, for 2023. And so as we said, we really do that, as driven by content gains and those content gains we believe are multiyear revenue streams, right? A lot of those design wins that we win are -- which begun production, those stay in production for -- in the Industrial and Automotive segment for sometimes 3, 5, 7 years or longer. So those are really long lifetime revenue streams. And so when we talk to our customers, though, about the kind of near-term headwinds, what our customers are seeing is that is near-term demand softening based on their customers.  So their customers placing lower number of orders on them. And that what they've shared with us is they believe that, that's really driven by lower CapEx spending by their customers due to higher interest rates, higher cost of capital et cetera, so. But if we step back, really quite pleased with the growth that we've driven in this segment over the past year, certainly this year as well. And we continue to see Industrial and Automotive as a long-term growth opportunity for the company.  We believe that industrial automation, robotics, automotive electronics that these applications are in multiyear secular growth trends that will last for many years over the long term and that Lattice and Lattice Devices are really well positioned to take advantage of those secular growth trends. And well positioned to gain more content with our customers, especially with not just the continued expansion of our Nexus product line, but the beginning ramp of our Avant product line and the build-out of our Avant product line as well.
Tristan Gerra: That's very useful. And then for my follow-up, you've mentioned in the past that you have very little in terms of LTSA. So what's your expectation for pricing next year? I know you're not providing a guidance, but given the weakness, do you think that we get back to maybe a low single-digit decline in pricing? That's what a couple of analog companies have reported so far this earnings season. And where are your lead times currently relative to a quarter ago?
James Anderson: Yes. Thanks, Tristan. On pricing, we see our pricing as generally stable and durable. We're in our -- as Sherri said in her prepared remarks, we're in our fifth year of our gross margin improvement strategy, which included better pricing optimization. And I would say over those 5 years, which there have been many different sort of market conditions over those 5 years. Over those 5 years, we found that our pricing was very durable, very stable. And we don't have any reason to think that, that would change, right?  So we believe that our pricing will remain durable. On lead times, the second part of your question, I would say that lead times are, for us are really back to normal, which normal we would say is kind of pre-COVID time. There can always be a particular silicon package combination that might be in tight supply. But overall, I would say our lead times are generally back to normal. And then just more broadly, I would say just we view the semiconductor supply chain overall is really kind of back to normal in terms of supply availability.
Operator: Our next question comes from the line of Blake Friedman with Bank of America Securities.
Blake Friedman: I just wanted to go back to Avant, and just relative to 90 days ago, have there been any changes related to your thoughts on how Avant is expected to ramp next year? And have any of the recent macro developments impacted the timing of any customer ramps.
James Anderson: Thanks, Blake. I would say no. In terms of changes in, Avant, the only changes we've seen over the last 90 days would be continued growth in the design win pipeline, which we would have expected, right, as we continue to engage with customers as new device, Avant devices get closer to launch, et cetera. We expect that overall pipeline to continue to grow, so. But that's certainly one change is pipeline continuing to grow. And then the only other change is just our continued execution and progress on getting Avant-G and X ready for launch at the developers conference. So -- and then the second part of your question, doesn't -- no changes relative to our thinking on how Avant would ramp next year over the following years. That's really driven less by any macro changes, more by just the level of customer engagement and design win progress and then the natural timing of our customers on when they selected a device to just their natural time line to when they would enter production with those devices.
Blake Friedman: Got it, helpful. And then just as a quick follow-up on OpEx. If I look over the past few years, OpEx has kind of grown in this mid-teen range on an annual basis. Just kind of given the potential macro weakness over the next few quarters, just curious how we should think about kind of the trajectory of OpEx moving forward.
Sherri Luther: Yes. Thanks, Blake. So from an OpEx perspective, I mean while there can be fluctuations from quarter-to-quarter based on the timing of programs and things like that. But you certainly have seen that over the past several years that we've been investing quite a bit in our long-term product portfolio and demand creation. So that's been going on now for several years. And even in the current quarter, the sequential, or in the Q3 quarter sequentially as well as year-over-year, you've seen that we've increased our R&D spend and the investments that we're making. So investing in our product portfolio for the long-term growth of the company that continues to be an area of focus for the company. We've talked about the fact that we're in the most rapid expansion of our product portfolio in the company's history. And so making sure that we make the right investments are very important there. And so that's definitely important to us. We want to make sure that we do it in a disciplined way, of course. But we're really pleased with the product launches, the customer momentum. And as we look ahead, you can expect to continue to see us want to make sure that we are investing the right amount in our product portfolio. The other just a reminder that, I'll provide is from our Investor Day earlier this year, we talked about our OpEx, 30% of revenue and then R&D target at 18% to 20%. So that long-term investment is -- continues to be an area of focus for us.
Operator: Our next question comes from the line of Christopher Rolland with Susquehanna.
Christopher Rolland: So there have been a number of companies that have reset revenue guidance recently. And it's kind of spurred a reevaluation of customer inventory and channel inventory out there. Have you guys begun this process? Are you really comfortable with understanding the level of inventory out there particularly after this downtick in demand at least evident for Q4? And are there any patterns geographically or end markets or actually by disti themselves that you've noticed?
James Anderson: Yes. Thanks, Chris. In terms of inventory, let me start with distribution or channel inventory. Most of our revenue flows through, a vast majority of our revenue flows through distribution. So that's certainly really important to us. We have very good visibility on distributor inventory, when we look at distributing inventory where it ended in Q3, I would say very much within the normal historical range for us or for Lattice in terms of levels of disti inventory. So we see that as healthy. There are 1 or 2 distributors that I would say, are still on the relatively lean side in terms of inventory, so they're a bit lean. But overall, in aggregate, our inventory level in the channel, I would view as healthy and within normal range. And then if we move to end customer inventory, so we have thousands of end customers. We don't have perfect visibility of end customer inventory. There are some of our large strategic customers that give us visibility into their levels of inventory. With those large strategic customers, we don't see any obvious signs of excess inventory or pockets of inventory with those large strategic customers. But again, we don't have perfect visibility into that and customer inventory across all of our thousands of customers.
Christopher Rolland: Great. And perhaps another one for you. So Altera came out. They had some kind of an interesting update on kind of pre-IPO track. I guess first of all, they talked about a decline in revenue. It looks like maybe 1/3 of their revenue, peak to trough, Is there expectation for a decline. I was wondering how you guys in terms of an overall decline in revenue, how you might see that.  But also, I just wanted your kind of take on refocusing on the low end with new products they have coming in the first quarter of next year. And also refocusing on the channel and Industrial and Auto, I believe, an area where you've taken some considerable share over the past few years.
James Anderson: Yes. So in the first part of your question, I can only speak to our business and what we see largely covered, I think, in one of the earlier questions, which is overall, for the full year, we're looking forward to another strong year for the full year in terms of overall growth kind of despite the sequential guide down for Q4. If you look at where we're tracking for full year, we're pleased with the overall, the overall track that we're on, especially given some of the macroeconomic conditions that we're seeing in some of the end markets. So we're pleased with our progress this year and this year to date. Now on the second part of your question, what I would say is on competition is, I would say the -- I would start by saying the same thing that I said over 5 years ago, when I joined the company and probably the Lattice employees are tired of hearing me say this. But I continue to repeat it, which is we will always assume there's robust competition in every market that we serve and every product that we build, right? That's our philosophy. And so beginning in 2018, when I joined the company, we assumed that there would be robust competition. We plan our products accordingly. And we feel really good about the competitive positioning of our products. Both our small FPGA portfolio. The Nexus product line is very, very competitive on power efficiency, on size efficiency, on feature set. We just launched our seventh device family based on the Nexus platform, 5 are in production and ramping, #6 and #7 will go. We expect to go into production next year in first and second half of next year, respectively. And then Avant, again, we feel really good about the competitive position of Avant. As we shared at the launch last year, the power efficiency of Avant, feature set, the size, efficiency are great. So we feel really good about that competitive positioning. And clearly, we'll share more about that at Developers Conference that we have in December when we launch Avant-G and X. But yes, I would say that we'll always assume that there's robust competition. And so, and we'll -- our goal is to always make sure our products are absolute leadership in the markets and segments that they're targeting.
Operator: Our next question comes from the line of Srini Pajjuri with Raymond James.
Srinivas Pajjuri: Jim, given the macro weakness, are you seeing any change in your customers', I guess, adoption of some of the new products? I understand you have a lot of them coming up and a lot of design activity out there. But given the macro, do you see any impact at all to the Avant ramps in the next few quarters?
James Anderson: Yes, thanks, Srini. And let me address it in the more broad sense across all of our products. And I can come back and touch on Avant specifically. But across all of our products, which would include Avant but not just -- but also Nexus and even pre-Nexus products, if I look at the design wins and the design win pipeline, through the first 3 quarters of this year, we're seeing another very, very healthy year of growth in our design wins this year. And that follows multiple years of significant growth. And so we're quite pleased with the continued expansion of the design win pipeline. And of course, that pipeline converts to revenue over the coming quarters. So we're pleased with that. And we're actually pleased with that across not just Avant, but Nexus and, as I said, even pre-Nexus devices. An important part of that design win growth is our software strategy. I mentioned this in the prepared remarks. But for over 5 years now, we've been investing in our software portfolio. We've been building out a set, a portfolio of application-specific solution stacks that are targeted for specific end use cases and applications that make it much very easy for customers to adopt our products and get to market quickly.  They help our customers either switch from a competitor's device to our device or customers that have maybe never used a Lattice device before or using a Lattice device in a new application. They help speed up that process. And so software, which has been one of the places that we've invested significantly over the past years, that certainly had a positive impact on the rate and pace of our design wins. And that benefits the Nexus product, the pre-Nexus products. And because Avant leverages that same software base that we've been building over the past 5 years, it benefits Avant as well. And so we're pleased with -- back to one of the original parts of your question, we're pleased with the rate and pace of Avant design win growth. And we're looking forward to the revenue ramp starting as we expect at the very end of this year, but benefiting us in 2024 and '25 and beyond.
Srinivas Pajjuri: Got it. And as a follow-up, Jim, you talked about auto and industrial kind of weakening in Asia and maybe spreading beyond Asia into Europe as well, I guess nobody has perfect visibility. But to the extent you can share with us what your customers are saying about how long these macro headwinds are going to continue and when some of this demand and I guess, crosscurrents will kind of bottom out. Any thoughts and any color on that would be really helpful.
James Anderson: Yes, thanks, Srini. Yes, I think our customers are struggling a little bit with how long that will be. I think their visibility is a bit cloudy right now. They're the -- when we talk with our customers, they're seeing that demand softness as they're really attributing that to -- again, to a pullback in CapEx related to those higher interest rates, higher cost of capital. And as I shared earlier, we certainly saw that initially in the Asia geography towards the end of our Q3, expecting that to continue into Q4. And then we expect to see that softening extended into Europe as well. And we'll give -- at our next earnings call, we'll give more thoughts on what we're seeing in Q1 and next year at our next earnings call.
Operator: Our next question comes from the line of Matt Ramsay with TD Cowen.
Matthew Ramsay: Jim, I wanted to dig into the trends in Industrial and Auto in that segment. So a few questions there. So apologies for the multipart thing. But could you help us a little bit, first of all, to break down that segment between the Industrial and Auto business, just roughly percentages? Second part, are you seeing any drastic differences in lead time trends between the Industrial business and the Auto business, like which one's holding up better, which one's worse? And then lastly, if you could give us some visibility into specific customer or specific applications where you're seeing this weakness. I mean the call so far has talked about things very generally. And I wanted to get a bit more specific, if you could, as to where you're seeing things that are holding up and where you're seeing things that have really weakened from an end application standpoint.
James Anderson: Yes. Thanks, Matt. I think that was three parts. I'll do my best to hit each one of those. On the breakdown of Industrial and auto, just as a reminder, for Lattice, if you look at that segment, we are definitely more heavily weighted towards Industrial than Automotive. Automotive is a relatively small percentage. We don't break out into subsegments but just qualitatively, that the majority of our revenue is Industrial. Auto is a smaller part of that segment but it has been, over the past quarters, the faster growing part of the segment. Industrial, I think we talked about a number of times, so I won't kind of repeat the comments on industrial. Automotive more specifically, we do anticipate automotive, the automotive market overall to start to soften in, for instance, this quarter. Just the belief is that higher interest rates, the fact that there's been the restocking of car lots is largely behind us, start to affect the end market demand in terms of new automotive sales. And so we're assuming that, that market begins to soften this quarter. On the second part of your question, on the lead time differences between the two, I don't think we see any significant lead time differences between the two. But again, that segment for us is much more heavily weighted towards Industrial. And so we tend to be a little bit more focused on the industrial impact because of its heavier weighting. On the third part of your question, which I think was around specific customers and applications, what I would say is that the demand softness that we've seen is really broad-based. It's we kind of talked about by geography. But within those geographies, broad-based across many customers, many different applications.  So we're certainly seeing that across things like industrial automation, applications, robotics applications. Yes, I would really, and we anticipate automotive electronics. I would really categorize it as a pretty broad-based softening.
Matthew Ramsay: Got it. And I appreciate the patience with the multipart question. My second question, really quick for Sherri. You and I talked a lot about the performance of the company on a free cash flow margin basis. And I think you got a question earlier about OpEx. But when you think about sort of floors and margins on an operating basis or a floor and free cash flow margin, is there a certain trend that you would see in the end markets that would make you dial back spending? Or is this an environment where you have all these new products with Avant that are about to launch, and you guys are going to sort of spend through the cyclicality and see where we end up on the other side because of the confidence in the products?
Sherri Luther: Yes, Matt. So I would say that on the OpEx front, investing for the long-term growth of the company is definitely something we've been focusing on. We've been doing that quite a bit with all of the new products that we've launched. But that is -- continues to be important. And the target that we put out at our Investor Day for R&D spend, in particular, is 18% to 20%. So as a long-term model, that model remains intact. I think though, what I would say is that the way we've been investing has always been in what we consider to be a disciplined way. And so we'll continue looking at the way that we're making those investments in a very disciplined way. And in terms of -- you can see the guide for Q4 in terms of what that's looking like. We, the company has very strong free cash flow, strong cash generation, free cash flow. We're really pleased with that. We are thrilled to be 40% free cash flow margin for the quarter, was really good results. And we'll continue to focus on that. We'll continue to focus on making sure that we're investing in the right things. Gross margin, we believe our gross margin is durable. We'll continue to execute on our gross margin expansion strategy and focus on that area. So we just really view that we'll continue to execute toward our long-term model that we put out earlier this year.
Operator: [Operator Instructions]. Our next question comes from the line of David Williams with Benchmark.
David Williams: So I guess, Jim, first. Just kind of understanding how small the Auto is relative to the Industrial segment. It is a greenfield opportunity for you. I'm just wondering if you could maybe talk about where you see the growth opportunities there, and what do you think the mix optimization would be if you think about those two. Would it be a 50-50? Or is there maybe a less of a mix that would be more optimal for the business?
James Anderson: Yes. Thanks, David. So definitely, the Auto, within Industrial and Auto, Auto is a smaller component. But it has been a faster-growing area for us over the past quarters. The applications that we would address would be ADAS and infotainment systems. Actually, one of the recent wins that we announced with the customer was in new Mazda models of cars, we're used in their ADAS system. The Lattice device gets used between the camera that's at the front or the rear of the vehicle. It gets used in that data stream to do some preprocessing of the video stream. And so that's a very typical, Mazda application, very typical application that we get used in automotive applications. But there's many other examples as well. So we do see automotive electronics, over the long term, as first of all, kind of an obvious secular growth area for the semiconductor industry overall. But definitely a great growth area for Lattice as well. The combination of our devices being very power-efficient, very size-efficient, having an incredible amount of flexibility in terms of the interconnect that we can service and the ability to reprogram those devices and customize those for specific applications. We see all those kind of feature and power efficiency benefits as being really well positioned to support automotive applications. And that's why we continue to see automotive electronics as just a really strong growth area for the company over the long term.
David Williams: And then secondly, just, Sherri, we've talked about the gross margin, and it's been surprisingly robust here. And you're pointing to that resiliency in the past. But I think this is the first time that we're seeing it really maintained on the softer outlook. And I guess, does that give you greater confidence just in that trajectory and the sustainability of it? And then does this maybe signal there could be more upside opportunity incrementally on the rebound?
Sherri Luther: Yes, thanks, David. So gross margin, 70.6%, a record. So we're really thrilled with that and the sequential improvement as well of 110 basis points or year-over-year rather improvement. But gross margin is something, an area that we continue to focus on. I mean we're in our fifth year now, as I mentioned in my prepared remarks, and the factors that we've been executing on there. We continue to focus on you can see fluctuations in gross margin from 1 quarter to the next quarter. But at the midpoint of our guide, it is a range, right, 70.5% plus or minus 1%.  It is a range. We will continue to focus on gross margin, and we believe our gross margin is durable. And when you look at our Investor Day earlier this year, where we increased our gross margin target to the low 70s, that's our long-term target model, and we'll continue to drive towards that.
James Anderson: Yes. And maybe I'll just add. One of the benefits we've seen on gross margin is a software attach rate. As Sherri mentioned, gross margin can fluctuate quarter-to-quarter based on things like just mix of product. But one of the longer-term trends that we think benefits our gross margin is software attach. As we've seen a higher percentage actually now over half of all Lattice Silicon Design wins have what we call a software attach, which means they're using one of the six software solution stacks that we've launched into the market. And when customers adopt that solution stack, that combination of silicon and software generally has a higher ASP. And a higher ASP design win usually has a higher gross margin associated with it. So I think that's one of the tailwinds over time, higher software adoption and the benefit that we see over time.
Operator: Our next question comes from the line of Ruben Roy with Stifel.
Ruben Roy: Jim, you said you like to talk about Avant. So I was going to ask another question on Avant and specifically around the pipeline and your comment on the pipeline at this point being significantly larger than kind of the same time line for Nexus. And the question is, I think, if I remember correctly, the initial Avant SKU was -- had a feature set, I guess, that was targeted towards Edge processing and potentially Edge AI. Is that sort of the area, where you're seeing most of the design activity? Or at this point, has that broadened for whatever reason, if it has, if you could maybe talk about that a bit?
James Anderson: Yes, thanks, Ruben. I'll never get tired of talking about Avant. So no problem with asking another question on Avant. Yes, so as I said, we are seeing really good growth of the pipeline. And actually, Edge AI applications are some of the initial growth that we've seen in the pipeline and where we expect some of the initial revenue to come from in the initial ramp. And that actually has more to do with the sequence of the products coming out. When we launched the Avant platform about a year ago, the first device family that we launched along with the platform was the Avant-E and E actually stands for Edge. And the Avant-E was actually optimized more around Edge applications, things like doing artificial intelligence or inference processing at the Edge in lots of different applications, industrial applications, automotive applications, other applications as well. And so because that was the first product family that we launched and the first samples that we delivered to customers, that will be the first product that begins to deliver revenue. And so that's where -- and because that product is more optimized around Edge applications, Edge AI in general, that's where the kind of initial design win pipeline started to build, and that's where the first revenue streams will -- we expect to start to generate.  Now the follow-on device families of Avant-G and X, we're very excited about those products as well. And as I shared earlier, we'll launch those at the developers conference in December. Now those will address a range of other applications that we're excited about, too. And we'll certainly talk more about that at the developers conference in December. And so stay tuned. Well, you'll hear more about that in December.
Ruben Roy: Got it. Great. Okay. So if I could ask a quick follow-up. I don't think you've talked about client-side PCs. I don't think you mentioned it this quarter or maybe not last. Maybe you can give us an update, especially with some new processor SKUs coming out and some excitement around potentially AI-centric notebook computers being done. Is there an opportunity for you folks with either content gains? Or are you seeing any design activity around that front at this point? Or is it too early?
James Anderson: Yes. In fact, thank you for asking that. Happy to touch on that. Yes, in client, we continue to view client as a large, a very large system TAM opportunity for us. And we've announced a number of customers that we're already engaged with. In the past, we had announced that Lattice devices and software are used on Lenovo ThinkPad devices, LG Gram Series, ASUS. But there are other client OEMs that we're working with as well. It's a little too early to talk about those publicly, but we're really excited about those engagements. And we'll definitely share more about that as those get launched and enter production. But yes, Lattice devices, great, are a great solution for doing Edge AI applications in client devices. In particular, we can help drive battery savings. We can help improve security of the system, a number of different applications that we're getting designed into. And yes, we continue to see this as a good growth area for the company, and we'll share additional OEM engagements and design wins as those come closer to production.
Operator: [Operator Instructions]. Our next question comes from the line of Quinn Bolton with Needham.
Nathaniel Bolton: First for Sherri and then an Avant question for Jim. Sherri, on the gross margin as revenue pulls back, is there any sort of significant under-absorption or operations costs that could start to be a factor for gross margin? And then second, looks like at the Analyst Day, or sorry, Investor Day, you set a target for OpEx to be 30% of sales.  At the midpoint of guidance in December, it looks like OpEx is going to be about 33% of sales. Is there an upper threshold where you would start to cut absolute OpEx? Or could you see OpEx moving into the mid-30s for a period of time as you invest in the long-term business?
Sherri Luther: Yes, thanks, Quinn. So from a gross margin perspective, the way I would look at it is we've contemplated all of those things into the guide for Q4. So 70.5% plus or minus 1%. Now the gross margin expansion strategy that we've been executing on now for 5 years or in its fifth year, there are multiple factors there that we've talked about in the past that have enabled us to really get value for our products. And some of those do include product cost efficiencies. Jim talked about the software attach, new products mix. There are so many various factors that are built into our gross margin expansion strategy that those are all fully contemplated as part of the guide that we provided for Q4. And again, we believe our gross margin is durable and will continue to drive toward the long-term target model that we put out at our Investor Day earlier this year. From an OpEx perspective, the 30%, it's a long-term model, right? That's our target. And within that, we talked about the R&D, 18% to 20% and SG&A 10% to 12%. So in terms of an upper limit on our OpEx, the way that I would answer that is that we continue to focus on making sure that we're making the right investments for the company, for the long-term growth of the company. We want to do it in a disciplined way, and we'll continue to manage the business in that way. We've made a ton of progress in terms of all the investments we've made with the products that we've launched to date. And we want to continue that focus because that's the long-term growth of the company. And so you can see fluctuations on a quarterly basis, as I mentioned before, from an OpEx perspective, but will still drive toward our target model that we put out at our Investor Day.
Nathaniel Bolton: Great. And then for Jim, I know you've said multiple times, the Avant pipeline is bigger than the Nexus pipeline at the given point in time. But I guess I'm wondering, and I hope this doesn't come across as a very simple question, but does that translate into a faster revenue ramp for Avant? Or is it just that the TAM is much bigger for Avant? It's 10x higher ASPs, and so the pipeline is bigger, but it doesn't -- people shouldn't necessarily read into a faster Avant revenue ramp than Nexus. And I guess where I'm getting this is you're getting lots of questions from investors after the close, kind of, hey, can Avant ramp help offset some of this macro weakness that you're seeing and still allow you to sort of grow in 2024?
James Anderson: Yes. I think that what I would say is that Avant design win pipeline being larger than Nexus is obviously positive. We certainly expected that, but it's still, it's good to see that. The pipeline, the whole idea of the pipeline is that converts to revenue over time. I think the major, if you look at the major limiter or governor over the revenue ramp over time, once we put the samples in the hands of customers, it's actually more the customers rate and pace of being able to bring that product to market. They're on their own natural beat rate and natural platform refreshes. And so they'll -- as we win designs, they'll design Avant at the next platform refresh rate. And so that's more of the rate or the governor of that growth rate over time of Avant once we put the samples in customers' hands. And then what I would say is I would refer you back to the Investor Day that we did earlier this year, where we tried to characterize or give a sense of how to think about both the continued ramp of our small FPGA products. We expect those to continue to grow over the long term, but then how to think about how Avant layers on top of that over a multiyear period.
Operator: Ladies and gentlemen, that was our final question. I would now like to turn the floor back over to Lattice's President and CEO, Jim Anderson, for closing comments.
James Anderson: Yes, thank you, operator, and thanks again, everybody, for joining us on the call today. We're pleased with the solid results in Q3. And we're really excited to continue to execute on what we see as the biggest product portfolio expansion in the company's history and excited to share more about that at our developers conference in December. So thanks for the time. And operator, that concludes today's call.
Operator: Thank you. This concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation.